Operator: Good afternoon and welcome to Depomed’s Second Quarter Fiscal 2015 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note, today’s event is being recorded. I’d now like to turn the conference over to Mr. Christopher Keenan, Vice President of Investor Relations. Sir, please go ahead.
Christopher Keenan: Thank you, operator. Good afternoon and welcome to our investor conference call to discuss the second quarter 2015 financial results announced earlier today. With me today are Jim Schoeneck, President and Chief Executive Officer of Depomed; August Moretti, Senior Vice President and Chief Financial Officer; Matt Gosling, Senior Vice President and General Counsel; Scott Shively, Chief Commercial Officer; Srini Rao, Chief Medical Officer and Jack Anders, Vice President of Finance. I’d like to remind you that the matters discussed on this call contain forward-looking statements that involve risks and uncertainties, including those relating to commercialization of NUCYNTA, NUCYNTA ER, Gralise, Cambia, Lazanda and Zipsor, the Company’s financial outlook for 2015, the Company’s expectations regarding Horizon’s unsolicited proposal to acquire Depomed and other statements that are not historical facts. Actual results may differ materially from the results predicted and recorded results should not be considered an indication of future performance. These and other risk factors are more fully discussed in the Risk Factors section and other sections of our annual report on Form 10-K for the year ended December 31, 2014, and of our quarterly report on Form 10-Q that we expect to file later this week with the SEC. Depomed disclaims any obligation to update or revise any forward-looking statements made on this call as a result of new information or future developments. Depomed’s policy is to only provide financial guidance and guidance on corporate goals for the current fiscal year and to provide update or reconfirm its guidance only by issuing a press release or filing updated guidance with the SEC in a publicly accessible document. References to current cash, cash equivalents and investments are based on balances as of June 30, 2015. All guidance including that related to the Company’s expected total product revenues, operating expenses, adjusted non-GAAP earnings and non-adjusted EBITDA as of today, July 29, 2015. I’ll now turn the call over to Jim Schoeneck.
Jim Schoeneck: Thank you, Chris and thank you all for joining us today. Before I begin my remarks on our second quarter, I’d like to briefly discuss the latest developments with respect to Horizon Pharma. As most of you’re aware, on July 7, 2015, Depomed announced that the Board of Directors had unanimously rejected an unsolicited proposal from Horizon to acquire Depomed in an all-stock transaction valued at $29.25 per share. Following its review, the Board concluded that the Horizon proposal was opportunistic and highly conditional and importantly, did not reflect the inherent value of Depomed in light of the Company’s standalone prospects. Additionally, the Board noted that Horizon’s proposal was identical to the proposals received by Depomed on May 27 and again reiterated by Horizon on June 12. On July 21, Depomed confirmed receipt of a purported revised proposal from Horizon to acquire Depomed in an all-stock transaction valued at $33 per share. Earlier today and as many of you’ve already seen, Depomed’s Board announced that after careful consideration and with the assistance of independent financial and legal advisors, that it has unanimously rejected Horizon’s purported revised offer. The Board and its decision underscored that the purported revised and highly conditional nature of Horizon’s latest proposal, noting that it does not reflect any increase in the amount of Horizon’s stock that our shareholders would receive nor any increase in the pro forma ownership for Depomed shareholders. It simply just restates a purported increase in Horizon’s July 21 proposal. And that increase was a result of the trading price of Horizon stock having increased since their initial proposal. And in line with its prior rationale, the Board reiterated that Horizon’s proposal substantially undervalues Depomed’s business and does not reflect the inherent value of Depomed in light of its standalone prospects. As demonstrated by Depomed’s record sales and cash flow during the second quarter, which we will provide details on shortly, Depomed continues to drive tremendous value for our shareholders and significant growth opportunities that extend well into the next decade. We believe the timing of Horizon’s proposal is opportunistic and takes advantage of a temporary decrease in Depomed stock price. In addition, Horizon’s proposal fails to appropriately compensate Depomed shareholders for the significant synergies that Horizon claims would be created by a business combination between Horizon and Depomed. Ultimately, the Board strongly believes that an independent Depomed will create significant and sustainable value for its shareholders both in the short and long-term through focused execution of our business plan and strategic vision. We are confident in our strategy, our future growth prospects and with today’s strong results that we’re clearly on the right track and well on our way to becoming one of the top five pain companies in the United States by 2016. While I understand the interest in the Horizon situation, I’ll now turn to the purpose of today’s call, which is to review Depomed’s record second quarter earnings and outlook. We ask that you focus your questions on our second quarter as we do not intend to comment on the Horizon matter beyond what the Board announced today. With that, let’s turn to our earnings. We’re pleased to report another record quarter of sales. On this call, we will cover a number of reasons why we’re increasingly confident in both the immediate and long-term growth prospects for Depomed that position us to continue to deliver substantial shareholder value. Our story continues to be one of tremendous growth. Thanks in part to the dedication of our employees and the support of our shareholders, Depomed stands today as a force in the pain and neurology marketplace with significant and numerous growth inflection points ahead. The second quarter of 2015 produced record setting sales for our Company as we achieved net product sales of $94.3 million. This represents a growth of 234% compared to the second quarter of 2014. To put this in an even broader perspective, at the midpoint of our revised 2015 guidance, the compound annual growth rate for our product sales since 2012 would be 129%.Our bottom line growth was equally impressive. I’m happy to report that we achieved non-GAAP adjusted EBITDA of approximately $37 million for the quarter and non-GAAP adjusted earnings of $0.27 per share. Finally, we had $55 million of cash in the second quarter, which puts us on track to prepay $100 million of debt in the second quarter of 2016, delevering our balance sheet and reducing our future interest charges. These impressive financial results coupled with numerous growth opportunities, which we will talk about later in this call, make us even more confident in Depomed’s bright future. In line with this strong performance, today we’re revising our guidance for 2015 including raising 2015 product sales guidance to a range of $320 million to $340 million, non-GAAP EBITDA to $95 million to $110 million, and non-GAAP adjusted earnings to $40 million to $50 million, up from our prior guidance of $16 million to $28 million. Augie will provide a comprehensive look at our revised guidance in his remarks. The second quarter marked the debut of NUCYNTA as the flagship product in our portfolio. I’m pleased to say that NUCYNTA is off to a great start, posting second quarter sales of $56.7 million. Several factors contributed to NUCYNTA sales for the quarter. First, we were able to close the NUCYNTA transaction ahead of schedule on April 2, enabling us to realize a full quarter of sales as we began shipping product on April 6. Next, we implemented a pricing adjustment of 44%, which brought the monthly price of NUCYNTA ER in line with market leading Oxycontin. As previously noted and reflected in our results, we captured about half of that adjustment immediately and expect to capture most of the rest of the adjustment over the rest of 2015 and 2016. Continuity was a key to our second quarter success as well as we hired Quintiles, the same contract sales organization that had marketed NUCYNTA previously to continue selling on our behalf while we completed the recruitment for positions in our expanded sales force leading up to our relaunch of NUCYNTA in June. As impressive as NUCYNTA’s second quarter numbers are, we believe we’ve just scratched the surface with this innovative product and that we’ve the potential to reach peak sales higher than we initially anticipated. Our new NUCYNTA positioning and expanded commercial relaunch efforts are now well underway. In addition to NUCYNTA, we saw strong sales performance across our portfolio of highly differentiated pain and neurology products. Product sales for the second quarter excluding NUCYNTA increased 33% to the same period in 2014 led by Gralise, Cambia and Lazanda. All three products showed significant year-over-year prescription growth with Gralise up 18% and Cambia up 35%. Lazanda was up even more dramatically with demand unit growth up 156% over the same quarter last year. Further, Gralise, Cambia and Lazanda have each grown market share since last year and in fact, Lazanda’s market share has doubled since Q2 of last year. Augie will provide specific product sales results for the second quarter and you may also find this information in today’s press release and on Depomed’s quarterly report on Form 10-Q that will be filed later this week. In addition to pointing to a superb second quarter, these product sales and prescription results speak broadly to an important component of our continuing growth story. We have demonstrated repeatedly that we can acquire, integrate, and grow products marked by sales growth, prescription growth, and market share growth. We expect that trend to continue and with it a period of accelerated growth for our Company extending well into the future. I’d now like to spend a few minutes on each of these growth opportunities. First and foremost, we believe NUCYNTA has blockbuster potential and can achieve greater peak sales than we originally anticipated. There are four key elements to our NUCYNTA plan: one, significantly increased promotion, two, totally revamped product positioning and messaging, three, pricing and access strategies to maximize the brand and this is new, four, proper dosing. Each has an impact on our sales ramp and the ultimate peak sales potential for NUCYNTA. Now let me give you some more info on each one. First, promotion. The key component of our strategy is the strength of our sales and marketing force. We officially relaunched NUCYNTA in June with a significantly expanded sales force of 275 highly experienced and specialized pain and neurology reps. This sales force is over three times larger than the prior sales force and allows us to rapidly and effectively engage to more than 25,000 target prescribers as we raise the profile of NUCYNTA. Our sales force is fully deployed and energized targeting 8 to 10 prescriber calls per day. And here is one new observations since our relaunch. There seems to be a group of physicians that have either prescribed NUCYNTA in the past or prescribe more NUCYNTA than they have recently. This latent demand may turn out to be an additional driver of NUCYNTA as Depomed reengages these physicians. Our medical and marketing activities have ramped up as well. During the month of July, over 300 medical support and speaker programs are being executed, including a national webcast that is expected to draw healthcare professionals from nearly every state. It’s important to note that while we began distributing NUCYNTA at the beginning of April, our relaunch took place in mid June, so the benefits from our commercial relaunch strategy should become evident later this year. The second leg of our plan is to revamp product positioning. Our commercial strategy centers on new product messaging focused on NUCYNTA’s dual mechanism of action designed to target both nociceptive and neuropathic pain. As the only FDA product that approved -- that addresses both types of pain, we’ve received feedback that this differentiation is working with the physicians and we believe these attributes will help us capture additional market share. The marketplace is significant, with over 100 million U.S patients with chronic pain and 31 million with chronic lower back pain. With NUCYNTA, we’re specifically targeting the chronic lower back pain population as many patients report symptoms of both types of pain. This patient group hasn’t been effectively targeted in the past, but we’re hearing from our reps that targeting chronic lower back pain is resonating with the physicians. In fact, in just the first three weeks of launch, we’re seeing about 700 new or renewed prescribers of NUCYNTA or NUCYNTA ER each week. We see this as an important driver for NUCYNTA growth. In addition to low back pain, NUCYNTA is just now being launched for moderate to severe painful diabetic neuropathy or DPN, an FDA approved indication that is unique among the opioids. We expect the moderate to severe DPN market, which may impact another 1 million to 2 million patients to be another driver of NUCYNTA growth. Our third NUCYNTA growth driver is pricing and access. I’ve already mentioned that the initial realization of our earlier pricing adjustments happened in second quarter. We also anticipate that managed care dynamics will continue to provide broad patient access for NUCYNTA. One example is the recent change to the United Healthcare Commercial formulary. Effective July 1, UHC removed OxyContin from Tier 2 coverage and now requires a triple step edit. This means that to use OxyContin, a patient must fail three or four formulary alternatives before receiving coverage. NUCYNTA ER is one of the two branded drugs that remain on formulary in front of OxyContin. This is an important advantage as the UHC commercial lives are almost 14 million and we expect this change to impact prescriptions later this year. The fourth opportunity for sales growth is proper dosing of NUCYNTA. This is another new observation we’ve had since we’ve taken over the brand. Here are the basic numbers. The average dose of NUCYNTA ER used by patients in the clinical trials for low back pain was approximately 400 milligrams per day. Yet when we look at the average doses in the marketplace, there are currently between 200 milligrams and 250 milligrams. We believe that education focused on proper titration can improve both the physician and patient experience with the product and we also feel it has the potential to increase sales by 50% or more as patients move toward doses most often seen in the clinical trials. I had one more point on NUCYNTA. We believe the market exclusivity can carry us beyond 2023. In fact, composition of matter patents cover tapentadol to February 2023, including the pediatric extension and cover the marketed polymorph form of the drug until December 2025, also including the pediatric extension, plus the DPN pain use patent goes to 2028. As you can see, there is tremendous opportunity for growing the NUCYNTA franchise over many years and we believe it has the potential to become a blockbuster. We believe that with our strategy in place and our experienced team behind it, NUCYNTA has the potential to achieve greater annual sales being $500 million by 2020 and to eventually surpass $1 billion before the patent expiration. We see continuing growth coming from the rest of our product portfolio as well. Pricing adjustments made in June to Gralise, Cambia, Lazanda and Zipsor to stay on par with market leaders. We anticipate that these pricing adjustments where we start to see additional sales in third quarter. We also intend to grow product revenue through label expansion and product line expansions and we look forward to updating you on these opportunities in the future. A key strength of Depomed is the lengthy exclusivity periods for our products. Our track record in this area continued in second quarter with separate litigation settlements for the appeal of our Gralise litigation win confirming market exclusivity for Gralise till 2024 and with the first Zipsor ANDA filer with expected generic entry in March 2022. In early July, a decision by the Patent Trial and Appeal Board and the Inter Partes Review followed by Purdue Pharma, confirmed the patentability of each of the patents subject to the IVRs paving the way to continue our patent infringement case against Purdue related to reformulated OxyContin. This brings me to the final critical driver of future growth for Depomed, our acquisition strategy. While we focus on successfully integrating and growing our products, we’re constantly evaluating new acquisitions in pain and neurology that provide growth opportunities for the Company. Our business development efforts remain aggressive. Through the first half of 2015, we’ve evaluated more than 60 acquisition candidates with the goal of identifying and closing deals that create significant value. This acquisition strategy will continue to be a major component for our Company’s growth. Our criteria remain constant. We look for pain and neurology products with lengthy exclusivity and peak sales upside. And we continue to consider tax conversion opportunities that would also bring strategic value to our business. The transformation of Depomed which begin in 2012, and has included a series of strategic and timely transactions is complete. We believe that we’re now in the early stages of an accelerated period of growth, a trend that we anticipate will last well into the future and it will be marked by significant gains in product sales, prescriptions, and market share and increased value for our shareholders. And with that, I’ll turn it over to Augie to discuss our finances and guidance.
August Moretti: Thank you, Jim. Today I’ll cover two areas. First, a review of a few of the highlights of our second quarter results and second, our updated guidance for 2015. Before we get started, however, I want to mention that I will be discussing certain GAAP measurements, as well as certain non-GAAP measurements. Please refer to today’s press release for an explanation of our non-GAAP financial measures and a table that reconciles the Company’s non-GAAP adjusted earnings per share. In addition, our guidance today will also include certain non-GAAP financial measures, which we expect to continue to present in future periods. As Jim outlined for you earlier in the call, the second quarter was a very strong one for Depomed both in terms of cash flow and product revenue. Our strong cash flow during the quarter reflects our first quarter of sales of NUCYNTA ER and NUCYNTA. As of June 30, 2015, cash, cash equivalents and marketable securities were $122.6 million, which represent a quarterly increase of almost $55 million. As we have stated several times since the closing of the NUCYNTA transaction, our intent is to prepay $100 million of our secured debt in the second quarter of 2016. We remain confident in our ability to do so without jeopardizing our working capital needs. Total product revenue for the quarter ended June 30, 2015 was $94.3 million, representing a year-over-year product revenue growth of 234%. Putting this into perspective, total product revenue for Q2, 2013 was $14.1 million and for Q2, 2014 was $28.2 million. We closed our NUCYNTA acquisition on April 2, 2015 and formally relaunched this important product franchise in mid June. For the quarter, NUCYNTA sales were $56.7 million and NUCYNTA is now Depomed’s largest product franchise. But NUCYNTA isn’t the whole story. The rest of our products also delivered strong performance in the quarter. Gralise product sales were $20.9 million for the second quarter, representing year-over-year net sales growth of 38%. The 2015 increase reflects prescription growth and increased unit prices. As Jim mentioned, year-over-year prescription demand growth in the second quarter was over 18%. Cambia, which we acquired in December 2013 and relaunched in February 2014, had net sales in second quarter 2015 of $6.8 million, representing year-over-year net sales growth of 38%. These increases in the second quarter of 2015 reflect prescription growth and increased unit prices. Lazanda, which we acquired in late July 2013 and relaunched in October 2013, had net sales in the second quarter of $3.9 million, representing year-over-year growth of 185%. The increases in second quarter of 2015 reflect prescription growth and increased unit prices. Now let’s look at our expense levels. Selling, general and administrative expenses were $57.4 million for the second quarter of 2015. The increase in SG&A expense in second quarter 2015 were primarily due to additional headcount in our sales and marketing organizations in connection with the NUCYNTA acquisition and relaunch and related headcount increases necessary to support the larger sales organization. We added 110 sales representatives to our sales force in connection with the NUCYNTA acquisition and relaunch. In addition, SG&A expenses in Q2 2015 reflect costs related to the relaunch and our one-time transaction fees. We expect selling, general and administrative expenses will decrease significantly in Q3 and Q4, as these periods will not reflect any one-time fees related to the acquisition and relaunch. Research and development expenses were $4.7 million for the second quarter of 2015. The increase during the quarter relative to previous periods is a result of costs for NUCYNTA pediatric trials that we assumed in connection with the acquisition. We expect R&D expense to continue at approximately this level during the remainder of 2015. In light of our strong Q2 results, we are updating our guidance for 2015. Guidance for the year is based on actual results for the first six months of the year and our current budget for the second half of the year. Our budget is based on a large number of assumptions and there are significant uncertainties in estimating future product revenues. This is particularly true for our largest revenue products, NUCYNTA and NUCYNTA ER. For a more complete discussion of the relevant risks relating to our guidance, I will direct you to the Risk Factors section of our quarterly report on Form 10-Q that we expect to file later this week. With that said, aggregate net product revenues for our six products for 2015 are expected to be $320 million to $340 million. This is an increase of $10 million on the bottom of the range and $5 million on the top. We expect total revenues to be approximately the same as we are not anticipating any milestone revenue in 2015. COGS for NUCYNTA and NUCYNTA ER will be approximately 25% for the second half of 2015, reflecting manufacturing costs and the royalties on net sales owed to Grunenthal. COGS on our other products are expected to be less than 10% of net sales. Operating expenses, exclusive of amortization, is expected to be $195 million to $210 million. This is not a change from previous guidance. SG&A expense for the remainder of the year reflect the costs associated with our increased sales force, the additional headcount increase necessary to support the sales force and the marketing expense for both NUCYNTA and NUCYNTA ER. In addition, they reflect the expenses of the NUCYNTA and the litigation that we’ve assumed in connection with the acquisition. Research and development expenses include pediatric studies for NUCYNTA, Cambia and Zipsor. Intangible asset amortization is expected to be approximately $84 million reflecting amortization of the NUCYNTA, Cambia, Lazanda and Zipsor acquisitions. Interest expense for the year is expected to be $68 million. This reflects the cash and non-cash interest expense on the convertible debt for the full-year and the interest expense for nine months on the high yield debt that we’ve raised in order to finance the balance of the NUCYNTA purchase price. Non-GAAP adjusted earnings are expected to be $40 million to $50 million, reflecting a significant increase from our previous guidance. Included in the non-GAAP adjusted earnings is an expected $16 million cash, tax benefit related to net operating loss carrybacks on taxes previously paid. With respect to our effective tax rate, we expect our tax rate to be negative this year as a result of the tax refund. For 2016, we expect to pay an effective tax rate in the mid teens. Adjusted EBITDA is expected to be $95 million to $110 million. This reflects an increase of $10 million from our previous guidance. Non-GAAP adjusted earnings are not based on any standardized methodology prescribed by GAAP and represent GAAP net income adjusted to exclude amortization related to product acquisitions, stock-based compensation expense, non-cash interest expense related to debt and to adjust the income tax provision to reflect the estimated amounts payable or receivable on cash. Adjusted EBITDA is not based on any standardized methodology prescribed by GAAP and represents GAAP net income adjusted to exclude interest income, interest expense, amortization related to product acquisitions, stock-based compensation expense, depreciation, taxes and transaction costs associated with product acquisitions. Non-GAAP financial measures used by Depomed may be calculated differently from and therefore may not be comparable to non-GAAP measures used by other companies. That concludes the financial discussion. I’ll now turn the call back over to Jim.
Jim Schoeneck: Thanks, Augie. In closing, I’m extremely proud of the Depomed team. The second quarter of 2015 continued a pattern of record-setting growth for Depomed, and we believe this is only the beginning. We are now on track to become one of the top five pain companies in the U.S by 2016. We anticipate reaching 50% EBITDA and 40% operating margins, ratios found in big-cap spec pharma companies within the next two years. Led by a product with blockbuster potential, NUCYNTA, we’ve built a high growth portfolio of six highly differentiated pain and neurology products with significant opportunity for increased sales, unit demand and market share gain ahead. We are committed to growing the business and to grow aggressively by deploying our acquire, integrate, grow and repeat model to bring in additional acquisition targets that can provide even more growth. As we move forward, we have a proven strategy in the hands of an experienced team that’s focused on creating long-term sustainable value for our shareholders. Before going to your questions, as a reminder, the purpose of today’s call is to discuss Depomed’s second quarter results and our outlook. We will not be making further comments with respect to Horizon. Thank you again for your understanding and cooperation, and now we will open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Randall Stanicky with RBC Capital. Please go ahead.
Randall Stanicky: Hey, great. Thanks guys. I just have a couple of questions. Jim on NUCYNTA, the $500 million target by 2020, how does that change or doesn’t if you were to double or triple the rep base? And the broader question is, now that you’ve had a little bit of experience with the relaunch, do you think 275 reps is the right number? Then I have a couple of follow ups.
Jim Schoeneck: Randall thanks for the question. I think the -- I think from where we’re at this point, I think it’s the right size on the rep base. I think in the future there may be an opportunity to add more reps as we get more and broader specialist support. But as with most drugs, I think establishing that specialist support before we go down to the next tier is a really critical piece and while J&J had some success there, it’s clear from our initial interactions that we need to grow that even more before we can go out more broadly to primary care.
Randall Stanicky: Okay. Can you just comment on the inventory levels? Is there anything abnormal across other NUCYNTA or any of the other products that we should be thinking about?
Jack Anders: Hey, Randall, this is Jack Anders. With our existing products; Gralise, Lazanda, Zipsor, Cambia, wholesale levels were relatively flat from the end of Q1. With regards to NUCYNTA, they are pretty relatively consistent with inventory levels at the end of Q1. What we saw was shipment demand mirrored -- the actual prescription demand in the second quarter of 2015.
Randall Stanicky: Got it. That’s helpful. And then my final question for Jim, you mentioned this in your prepared comments, but how do you think about lifecycle for the franchise? You’ve got a host of products there that you’ve patent life into the 2020s, but are you actively working on life cycle with respect to some of those products and can you share what that is?
Jim Schoeneck: Yes. Randall, with the two parts to your question, the first one is the easy part, which is yes; we are looking at lifecycle both in terms of additional indications and additional product development opportunities, things that we can do for additional ways to put up the product and bring it to the marketplace. At this point, we are not prepared to share any of those. So stay tuned and we will be back to you on that in the not too distant future.
Randall Stanicky: Okay. Are those -- I mean, are you thinking about switch strategies or are these more line extensions?
Jim Schoeneck: I’d say its additional indications rather than switch strategies and we’ve got some things that would take it -- that will be a bit farther out that could extend the franchise as well.
Randall Stanicky: Okay. That’s great. Thanks, guys.
Operator: The next question comes from David Risinger with Morgan Stanley. Please go ahead.
David Risinger: Thanks very much. Congrats guys on the results and the updated guidance. I had a couple questions. First, obviously, the United News was positive. Could you just talk about your expectations for any additional formulary action and when we might get updates? And second, could you please discuss your pursuit of transactions and I think you may have hinted at possibly even inverting and so I was just hoping that you could provide a little bit more color on your plans for strategic action?
Jim Schoeneck: Dave thanks. The first one in terms of the formulary access and status, the two big ones will come up pretty quickly and that will be CVS Caremark and Express Scripts. They’ve indicated that they would likely start to do some of those announcements over the next week, mainly on exclusions, frankly, and then after that in terms of their full formulary piece. We feel like we’ve had very positive interactions with those accounts and we’re very hopeful of being able to continue the broad access that we enjoy now. The United piece was an interesting one. I mean, that was one where we certainly saw that they wanted to take action against Purdue on this and Oxycontin. And that actually creates a big opportunity, because Purdue was enjoying about two-thirds of the branded long-acting opioid market at United and all those scripts are up for grabs. So that I think gives us a great opportunity and we may see some more of that before the formulary season is over. In terms of transactions, there we continue to look at things that are either marketed or late stage that we can bring to the market within 18 months. That’s our primary focus. With that on the inversion side, we’ve said consistently that while we see it as a great opportunity around the tax piece, there is also a piece of it that we want to see a strategic rationale for the Company, not simply doing it on the financial side. And so we continue to pursue those opportunities.
David Risinger: Right. Thank you.
Operator: The next question comes from Scott Henry with ROTH Capital. Please go ahead.
Scott Henry: Thank you, and good afternoon. A couple of questions. For starters on NUCYNTA, with all the efforts going in place, when would you expect to see prescription growth emerge? When should we start to see the results of these efforts?
Jim Schoeneck: Scott, just on a general basis as we stated before, we’d expect to see things starting in the fourth quarter. That’s just based on a traditional piece. We are launching in summer, we’ve got a sales force that about half the people are new to Depomed, a little under half. So they’re getting up to speed and rapidly, but with that just the traditional piece of how many calls it takes to really start to affect a physician. Now the one thing that may modify some of that is if what we are picking up on this latent demand turns out to be a really valid factor. And we’ve heard from doctors -- I mean, literally comments like, I used to write 10 to -- 8 to 10 prescriptions for NUCYNTA a day, now I write 8 to 10 a week. And these are ones that, when you ask them why, they say well, it just really is we haven’t had much noise level on it. There haven’t been programs on it, I haven’t had a rep in and that’s why I think we are seeing this number of doctors that have started either writing the drug or jumps back on writing the drug so quickly in the tune of about 700 new docs a week that are starting to write it.
Scott Henry: Okay. Thank you for that color. And with regards to pricing of NUCYNTA, I mean, recognize that you are moving it on par with the competitors, but those competitors are often raising their price continuously as well. So, I guess, my question is, when do you think you get more pricing power there or is that a short-term event or, I mean, obviously you don’t want to telegraph it, but just any -- anything you can say with regards to the pricing environment going forward?
Jim Schoeneck: Yes. I think two things there, one, when we do watch the markets on it and the categories act very differently. If you look at the branded gabapentinoid category, so essentially what Pfizer does with LYRICA, they’ve continued to take to 9% to 9.9% price increases a year and we’ve continue to stay in that band with them. For long-acting opioid market, it has been traditionally more of a market that’s taken 5% to 8% increases a year generally once a year, though Purdue took 15% at the beginning of this year. So we will just have to monitor and see how that goes forward. And one other thing that we did do and it’s not a huge thing, but the opioids primarily have a linear pricing relationship between the number of milligrams of drug and the price of the product. And with that, the 200 milligram NUCYNTA ER and the 250 milligram NUCYNTA ER were priced the same when we picked it up from J&J. We didn’t separate that when we took the initial pricing adjustment in April, but we did the end of June. So we actually took the 250 milligram which is about 10% of the units on NUCYNTA ER, up by 25% at that point to have that same linear relationship that the rest of the line does.
Scott Henry: Okay, great. Thank you for that color. Just a couple of accounting questions. First, the SG&A for the quarter I think was about $57 million. Could you approximate how much of that was one-time as a result of the relaunch? Just trying to get a sense of the go forward rate?
Jack Anders: Hey, Scott, this is Jack. We did have a decent amount of actual NUCYNTA transaction costs that occurred in the quarter and we had approximately $20 million in the first half of the year and about $16 million of that actually occurred in the second quarter of 2015. On a go forward basis, we obviously believe that SG&A will drop off, but it’s not going to be dropping off by that significant amount; particularly we hired the sales force towards the end of June. So while we -- while there will be some offset and we are ramping up the commercial infrastructure and that will be partially offset by increased expenses there. But if you look to the midpoint of our guidance, we -- in Q2, we had total OpEx [ph] -- SG&A and R&D operating expenses around $62 million. If you look to the midpoint of what we are guiding to, it’s going to be a drop in $52 million, $53 million range in the back half of year per quarter.
Scott Henry: Okay. Thank you. That’s helpful. Final question. With regards to the taxes, this $0.27 adjusted EPS number, I’m still going through the details, but is that a fully tax number or how are you taxing your adjusted EPS, so I can think about that going forward?
Jack Anders: So in the second quarter of 2015, we did recognize a $10.5 million tax benefit in that -- the non-GAAP adjusted net income number.
Jim Schoeneck: I think the simple answer, Scott, is yes, that is a number that reflects the taxes.
Scott Henry: Okay. But you are going to be reporting an adjusted non-GAAP number reflecting cash taxes or are you ever going to use a normalized tax rate? Just trying to think of how to gauge these numbers going forward?
Jack Anders: So what will reflect in our non-GAAP adjusted earnings is actual cash -- expected cash payments or cash receipts, vis-à-vis the actual tax refund that will be again related to fiscal year 2015. So we will reflect those amounts within our adjusted non-GAAP earnings numbers.
Scott Henry: Okay. So it will be a lower -- it will be a positive adjustment in 2015. 2016, I think you said mid-teens and then 2017 would be a normalized tax rate, I’d expect?
Jack Anders: It should creep up from where 2016 is, but we haven’t specifically guided where that rate is going to be in 2017.
Scott Henry: Okay. Thank you for taking the questions.
Operator: The next question comes from Traver Davis with Piper Jaffray. Please go ahead.
Traver Davis: Hey guy, thanks for taking the question. So just two parts. First on the M&A strategy. So you mentioned staying active on the M&A front is in the cards here. Can you talk about the kind of flexibility you believe your balance sheet has at this time and how this impacts this strategy both in the near and let’s call intermediate term? And then, just two litigation questions. So one, can you just remind us what the end of litigation timeline is on NUCYNTA and maybe also comment on generally on your willingness to settle with the ANDA filers. And then just third on the -- another litigation question on the IPRs. Is there anything you could say about what a best case end game would be here in the Purdue and ANDA litigations?
Jim Schoeneck: So first, I will take the first part on the M&A and then I will turn it over to Matt on the litigation questions. On the M&A, it’s our agreement -- our loan agreement with Deerfield and their partners allows us to do transactions that are EBITDA positive. So while acknowledging that we’ve got a fair amount of leverage right now, we do believe with an EBITDA positive transaction, we’d be able to finance that and be able to bring something in that would add to both top line and bottom line and be able to finance it. I guess basically on those revenues and perhaps some as we delever further. When it comes to things that maybe on the -- more in the pipeline stage, I mean, that’s one that we will need to fund out of some of our operating revenue. And so that’s a bit of a different type of case, but we certainly as you saw today are beginning already to generate a lot of cash.
Matt Gosling: As to your litigation question -- Traver, it’s Matt Gosling. First, the NUCYNTA ANDA litigation, the 30 month stay expires in May of next year. So we’d anticipate -- no trial date has been set yet, but we’d anticipate that being resolved in advance of or around the time of the expiration this day in May. As to settlement, I mean, you can certainly appreciate it. It makes my job a bit more difficult if we comment publicly on our approach to settlement, but I mean, history -- our history has been, we do settle in when it makes sense and is consistent with the merits of the case, so certainly we will see where that goes if anywhere. As to IPRs, the best case for us is that we wind up kind of back in District Court, prosecuting our patent infringement cases against Purdue and against Endo and with better prospects due to the fact that they can’t reassert the prior [indiscernible] they asserted in the IPR proceeding. So with respect to Purdue, we are kind of well on our way there. And frankly, with respect to Endo, just due to the way that some other sort of claims that were challenged, were picked up by the PTAB and some weren’t. We feel like we’ve got viable cases against both of those companies going forward, probably more to come on that next quarter as we expect a decision from the PTAB on Endo not later than September 29.
Traver Davis: Okay. Thanks guys. It was helpful.
Jim Schoeneck: Traver, thanks.
Operator: The next question comes from Chiara Russo with Janney. Please go ahead.
Chiara Russo: Yes, hey guys. Congrats on the numbers. Just some quick questions here. You talked about sort of growing indications on some of your current products and I was wondering how we should kind of think about the R&D spend going forward with that and sort of the timing around that?
Jim Schoeneck: Yes, I’d say that -- I wouldn’t expect any significant uptick in the R&D spend in 2015. As we start to roll this out, we will give you some more color around it and some more timing and it may pick up then in ’16 as we begin those studies.
Chiara Russo: Okay, great. Thank you. And I know previously you guys had talked about with transitioning to the new sales force that you could cover about 70% of the previous NUCYNTA script writers, and I was wondering how many of those previous prescription writers did you touch, did you hit your 70%? Did you hit more?
Jim Schoeneck: Really [ph] interesting, because the 70% was actually the ones that we were already hitting with our existing sales force of about 165 people.
Chiara Russo: Okay.
Jim Schoeneck: So as we sized it to 275, we actually cover a much higher percentage of it than that. I don’t -- frankly, I don’t know what the exact number is, but it’s a nice tick up from that 70%. We’ve focused on the highest writers and the highest potential physicians over this first part of the launch trying to get multiple calls within a month and that’s really where we are. I think that’s why we’ve started to see some of the pickup. We have also gone back and looked at some of the people that have written the drug in the past and we thought by reconnecting with them, it was much easier to get a doc that had written the drug in the past to write it again then to start somebody to know above.
Chiara Russo: Got it. Got it. Well that makes sense. And my last question is just kind of curious on your non-GAAP adjusted earnings of $0.27, what was your share count on that?
Jack Anders: Hey, Chiara. This is Jack again. We use the if converted method related to our convertible debt and to the extent that is dilutive to EPS. So if you look at the three months ended June 30, there was an additional 17.9 million shares in the basis of the diluted shares, which constitute that if the shares were fully converted, you back out the respective interest expense associated with that convertible debt in the numerator. So it’s about -- all in, it’s about 80 million shares in the denominator.
Chiara Russo: That should expect right. All right, cool. Thank you. That was it. Congrats again.
Jim Schoeneck: Thanks, Chiara.
Operator: This concludes our question-and-answer session. I’d like to turn the conference back over to Jim Schoeneck for any closing remarks.
Jim Schoeneck: Thank you. I want to thank you everyone for your interest in Depomed. With a high growth portfolio led by a blockbuster potential product our successful product and growth strategy and the right people to execute it, we believe that our Company is on a clear path to driving value for our shareholders over the long-term. And we look forward to reporting to you that progress and interacting with you over the coming months. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.